Operator: Good afternoon. Welcome to Clearfield's fiscal fourth quarter and full year 2021 earnings conference call. I will be your operator this afternoon. Joining us for today's presentation are the company's president and CEO, Cheri Beranek, and CFO, Dan Herzog. Following their commentary, we will open the call for questions. I would like to remind everyone that this call will be recorded and made available for replay via a link in the investor relations section of the company's website. This call is also being webcasted and accompanied by a PowerPoint presentation called the FieldReport, which is also available in the investor relations section of the company's website. Please note that during this call, management will be making forward-looking statements regarding future events and the future financial performance of the company. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. It's important to note also that the company undertakes no obligation to update such statements, except as required by law. The company cautions you to consider risk factors that could cause actual results to differ materially from those in the forward-looking statements contained in today's press release, FieldReport, and in this conference call. The Risk Factors section in Clearfield's most recent Form 10-K filing with the Securities and Exchange Commission and its subsequent filings on Form 10-Q, provide description of those risks. As a reminder, the slides in this presentation are controlled by you, the listener. Please advance forward to the presentation as the speakers present their remarks.  With that, I would like to turn the call over to Clearfield's CEO, Cheri Beranek.
Cheri Beranek: Good afternoon, and thank you, everyone, for joining us today. I hope you are all continuing to stay safe and healthy. It's a pleasure to speak with you this afternoon to share Clearfield's results for the fiscal fourth quarter and full year of 2021. Clearfield delivered record-setting financial performance in the fourth quarter and for the full fiscal year 2021 in a market that is changing dramatically. We are in the middle of a historic investment cycle due to our consistent focus on customer service, quality products, and our ability to nimbly respond to customers' changing needs. We believe Clearfield has built an advantageous position in the broadband market and continues to benefit from the rising demand for fiber.  The continued demand for fiber-fed broadband drove a 66% year-over-year increase in net sales in Community Broadband, our largest customer market, which helped us achieve $140.8 million in net sales for fiscal year 2021. Our growth in the period was led by double-digit increases from our Community Broadband market, which was up 64% in the fiscal fourth quarter. The Community Broadband market has historically been unserved or at least underserved. This market demand is being addressed with organic growth with existing customers that are putting their own money or financing into their networks and government-funded programs that are substantial and getting bigger.  Bookings led shipments by $55.6 million for the 12-month period, creating a backlog of $66.4 million as of September 30, 2021. For those of you who are new to the story, the image on the right shows our patented Clearview Cassette that is the foundation of our scalable and modular fiber management platform. Clearfield provides fiber protection, fiber management, and fiber delivery solutions that enable the rapid and cost effective fiber fed deployments through the broadband service provider space. We primarily serve the Community Broadband market, mainly Tier 2 and Tier 3 communications providers, though we also serve customers in the Tier 1 market and multiple system or cable TV operators, often called MSOs.  Our product portfolio is focused on scalable modular deployment that allows speedy deployment through a reduction in the amount of necessary skill labor. At Clearfield, our mission is to enable the lifestyle that better broadband provides. This was made abundantly clear over the last 18 months as people were working and going to school from home.  High-speed broadband is increasingly essential to be able to participate in this modern society and fiber-fed broadband in particular, is being recognized as the answer for future-proof connectivity to the American home and business. We are now in a position where everyone wants to be able to deploy fiber. The demand could be exponential. However, the market can only grow as long as there are technicians and engineers available to meet the demand. Industry professionals estimate that we need to double the number of trained technicians and engineers in the US market to deploy all the broadband that is required. However, these professionals have also said they believe we can only grow the number of technicians by about 15% a year. As a result, the deployment of high-speed broadband through fiber will be extended. The market for fiber-fed broadband is not only demand-based but also supplier-based. Suppliers are seeing their fiber networks are easier to maintain and generate more revenue per subscriber. So this is truly a perfect storm of catalysts that will help drive Clearfield's future growth. With that, I'll now turn the presentation over to Dan, who will walk us through our financial performance for the fourth quarter and full fiscal year 2021. 
Dan Herzog: Thank you, Cheri, and good afternoon, everyone. It's great to be speaking with you today. Now looking at our fourth quarter financial results in more detail. Net sales in the fourth quarter of fiscal 2021 increased 66% to a record $45.2 million from $27.3 million in the same year-ago period and up from $38.7 million in our third quarter of 2021. As Cheri mentioned, the increase in net sales was due primarily to higher sales in our Community Broadband market, which totaled 67% of our revenue for the fiscal fourth quarter and increased 64% year-over-year.  Our MSO market grew 90%, and our international market grew 221% year-over-year as well. Looking more in detail at net sales by our markets on Slide 8. In the fourth quarter of fiscal 2021, we generated net sales of $30.3 million to our core Community Broadband market, which was up 64% from the same period last year. For the full fiscal year ended September 30, 2021, Community Broadband market net sales totaled $97.9 million, which was up 66% from the comparable period last year. Our MSO business comprised 15% of our net sales in fiscal Q4.  From a growth standpoint, the positive momentum we have established over the last several quarters has endured. In the MSO market, we realized a 90% year-over-year increase in net sales to $6.9 million in the fourth quarter of fiscal 2021 and delivered a 51% year-over-year increase to $18.6 million for fiscal year 2021. Net sales in our National Carrier market for the full fiscal year ended September 30, 2021, were down 15% year-over-year to $11.9 million. As we've discussed previously, our position in the National Carrier market is related to the continuing demand for fiber-to-the-home and fiber to the business applications.  Net sales to our Tier 1 customers in the fourth quarter of fiscal 2021 increased 12% as compared to the fourth quarter of fiscal 2020 to $3.6 million as the deployment of 5G solutions into the access part of the network have begun to recover from previous COVID-related delays. We continue to support our sales presence in the Tier 1 National Carrier market for both fiber-to-the-home and business as well as for 5G initiatives. Business uncertainties at one of our Tier 1 customers has resulted in a reduction in their CapEx spend in the consumer markets for fiber-to-the-home, resulting in a slower pace of their spend with us. In addition, as we have previously communicated, the global pandemic has stalled the introduction and training of our new technologies into the Tier 1 market.  We are optimistic that our Tier 1 revenues will rebound as pandemic restrictions continue to be lifted. Net sales in our international market were up 221% year-over-year in the fourth quarter compared to the same period last year and up 132% year-over-year for the full fiscal year ended September 30, 2021. As we discussed on our previous call, we have seen a strong resurgence in demand for fiber-fed broadband in Mexico and Canada as purchases that had been delayed by the COVID-19 pandemic begin to resume. Net sales in our legacy business were up 3% from Q4 of last year, but down 20% year-over-year for the full fiscal year ended September 30, 2021.  As we have previously mentioned, our legacy sales are highly dependent upon two customers in this segment. We believe the business to be fluctuating from normal levels due to the continued impact of COVID-related issues. On an annual basis, net sales for fiscal 2021 increased 51% to a record $140.8 million from $93.1 million in fiscal 2020. As mentioned, this increase in net sales was primarily due to higher sales in our Community Broadband, MSO and international markets in the fiscal year.  Sales bookings continued their momentum in the fourth quarter, resulting in a 522% year-over-year increase in sales backlog. Backlog grew to a record $66.4 million on September 30, 2021, up from $26.1 million on the previous quarter ending June 30, 2021 and up from $10.7 million at September 30, 2020. Gross profit in the fourth quarter of fiscal 2021 increased 75% to $19.7 million or 43.6% of net sales from $11.2 million or 41.2% of net sales in the same year-ago quarter. The increase in gross profit margin was due to a favorable product mix and customer mix as well as improved manufacturing efficiencies realized with our increased sales volumes.  Gross profit for fiscal 2021 increased 61% to $61.2 million or 43.5% of net sales from $37.9 million or 40.7% of net sales in fiscal 2020. The increase in our annual gross profit margin was also due to the same factors as our quarterly gross profit margin improvement, along with a full year of higher utilization of our lower cost manufacturing center in Mexico. Operating expenses for the fourth quarter of fiscal 2021 were $10.4 million, which were up from $7.6 million in the same year-ago quarter. As a percentage of net sales, operating expenses for the third quarter of fiscal 2021 was 22.9%, down from 27.7% in the same year-ago period.  The increase in operating expenses consisted primarily of higher compensation costs due to increased personnel and higher performance-based compensation as well as increased travel expenses. Operating expenses for fiscal 2021 were $35.9 million, which were up from $29.5 million in fiscal 2020. The increase in operating expenses for the year consisted primarily of higher compensation costs due to increased personnel and higher performance-based compensation as well as higher stock compensation expense. As a percentage of net sales, operating expenses for fiscal 2021 was 25.5%, down from 31.7% in fiscal 2020.  Net income in the fourth quarter of fiscal 2021 increased 144% to a record $7.4 million from $3 million in the same year-ago period and up from $6.1 million in our third quarter of 2021. As a percentage of net sales, net income for the fourth quarter of fiscal 2021 was 16.4%, up from 11.2% in the same year-ago period. Net income for fiscal 2021 increased 179% to a record $20.3 million or $1.47 per diluted share, an improvement from $7.3 million or $0.53 per diluted share in fiscal 2020. As a percentage of net sales, net income for fiscal 2021 was 14.4%, up from 7.8% in fiscal 2020. That concludes my prepared remarks on our fourth quarter of fiscal 2021.  I will now turn the call back over to Cheri. Cheri? 
Cheri Beranek: Thanks, Dan. Since its founding, Clearfield has focused its product line on fiber management and fiber connectivity solutions while providing labor savings and being craft-friendly. As Slide 17 points out, we aim to remove the obstacles that would inhibit our customers from adopting fiber-led broadband. As I mentioned, there is a significant shortage of qualified technicians and engineers in the US market. Our products are thoughtfully designed to reduce the skill level required for installation as well as the overall time needed to deploy these networks. Moreover, in addition to our product categories, we provide on-site labor training to support these deployments. Our Clearfield College training courses are available virtually as well as in person. So it's the combination of our high-quality craft-friendly products and our steadfast focus on customer service, including trainingstoric investment cycle for high-speed broadband and fiber-led broadband, in particular. On our previous quarterly call, we mentioned over 50% of Americans now work from home, while just 15% of the population did so prior to the COVID-19 epidemic. To provide everyone a sense of the enormous scale of the potential funding opportunity, Slide 18 shows a chart put together by Jefferies Research that shows the anticipated increase in government funding over the next four years. This chart has been updated since last quarter because the expected funding amount has expanded. It's also worth noting this chart does not include the infrastructure bills currently in discussion in Congress that are reported to add additional investments into our market, effectively doubling the value of subsidies shown here. Clearfield is in a strong position to benefit from these incremental funding programs as they represent government dollars that will target the underserved and unserved Community Broadband markets that have been economically unviable for fiber investment. In addition to encouraging the broadband service providers to accelerate their rate of deployment in their existing footprint. Given the position Clearfield enjoys in the Community Broadband market, we believe this truly is a huge opportunity for Clearfield. Now as highlighted on Slide 19, we'd like to share an update to our multi-year strategic plan. As we discussed on our last call, Clearfield has entered the Now of Age phase of its strategic plan with the three pillars that we've identified will establish Clearfield as a platform of choice for fiber management and connectivity. As a reminder, our Now of Age plan is designed to capture the fiber-to-the-home and business market share Clearfield was built to obtain while delivering the innovation for new and existing markets for the years ahead. Accelerating our operating cadence. This is Clearfield's commitment to address the market's exponential demand for fiber fed broadband. Our ability to deliver our products on time to our customers is crucial. To meet this huge demand over the course of fiscal year 2021, we were able to grow 51% with our current facilities. And now with the investment we recently made in our Mexico plant, we are prepared to increase our footprint by three times early in our second quarter as we move into expanded facilities now being built for Clearfield. So we are well positioned to be able to meet the growing opportunities before us in fiscal 2022 and beyond. I'd like to share one recent case study that exemplifies how we've approached this pillar. Clearfield recently had an opportunity to work with a leading Tier 2 provider because their incumbent supplier could not provide them with the product they needed. We came in and were able to supply the product in the time frame that met their needs, their engineers concluded a study that showed due to labor savings they could place twice as many cabinets per week as was being done previously. As a result, we were able to win a supply agreement to provide our passive optical network cabinets for at least 50% of this particular deployment. This case shows that customers’ need suppliers who can provide product on time and equally important, can reduce their labor required for that the time to revenue can accelerate. Moving on to the second pillar. Amplifying bold and disruptive growth is our commitment to continue delivering market-changing products for current and future market requirements. The best proof point that we are delivering on this covenant is the $66.4 million backlog that we mentioned earlier on this call. We are bringing our fiber management expertise to the market, and customers have responded enthusiastically. We have 200 customers in our current backlog, including several distributors representing additional customers with demand spread, so a quarter of those have orders of greater than $100,000. We are growing large accounts certainly, but we are not dependent upon a single customer. Finally, our third pillar. Augmenting capacity for ongoing growth is our commitment to scaling Clearfield operations to meet the incredible demand for high-speed broadband. The key here is our agility and the ability to adapt to our customers and their changing needs. We listen to what our customers have been saying about the changes in the market and the issues they currently face with the global supply chain. As a result, we have evolved from being a rapid response supplier to a trusted supplier focused on meeting our customers' longer-term planning and larger scale deployments. We have entered into agreements with our customers to provide material that they need to their promised shifting. Our customer service skills and production planning provide us a competitive advantage to this market dynamic. Of course, disadvantage is also subject to our ability to manage suppliers who still have supply chain issues due to the pandemic environment. So we have learned to adapt to this new market dynamic, and we are building share as a result. We remain very optimistic about our company's growth potential. Demand for high-speed broadband, especially fiber-fed broadband continues to be very strong. We are making meaningful progress toward the goals we set in our now of age plan. From the beginning, Clearfield's culture, our focus on customer service and delivering high-quality craft-friendly products was built for this kind of opportunity and our value proposition indoors. With the overall market strength and current visibility we have into our backlog, we believe we can deliver projected annual net sales of $162 million to $169 million in fiscal 2022, representing growth of 15% to 20% over fiscal year 2021 revenue. Including within the backlog, our gains within the Tier 2 market as well as other strategic accounts that have multiyear builds, the nature of these purchase orders, and our sales backlog not only enhances our visibility, but strengthens our relationships with service providers on their longer-term strategic multiyear initiatives. Notably, this fiscal year '22 outlook does not reflect significant sales volume using funding from government programs like RDOF or the infrastructure package in Congress. In addition, with the viability we have into our current sales backlog, we expect an unseasonably strong fiscal first quarter. We will be able to provide more clarity to our guidance in coming quarters as we work to minimize supply chain and capacity challenges and as the timing of some of these government-funding programs becomes more clear.  In summary, we concluded our fiscal 2021 setting new records for financial performance. We are very proud of our track record of consistent profitability and positive cash flow over the last decade. We remain confident the demand for fiber-fed broadband will persist in fiscal 2022 and in the years to come and are actively committing our capital to expand our production capacity and grow and manage our global supply chain to meet that growing demand. We will continue to make progress on our Now of Age plan that positions us for continued success. The opportunity ahead of us is tremendous, and we will continue to execute on our proven strategy to grow our market share. And with that, we're ready to open the call for your questions. Operator?
Operator: Thank you. We will now be taking questions from the companies publishing sell-side analysts. [Operator instructions] Our first question today will come from Jaeson Schmidt with Lake Street.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Congrats on being able to lift that guidance. Just curious, just given the momentum you're seeing in the current backdrop, how we should be thinking about seasonality in fiscal 22? Or if that is even on the table this year?
Cheri Beranek: I think as we addressed, seasonality is going to be covered. It's a little bit different than normal. I think we're going to see a very – an unseasonably strong first quarter. And I think we'll see diminished seasonality from what we've seen historically because of the fact that we're seeing longer-term perspectives and orders and some of our customers are looking to put product in inventory so that they can be ready for the summer builds. So in general, I think we'll see a little bit less dominance on the summer and a little bit more consistent quarter to quarter. At least that's the visibility at this point. 
Jaeson Schmidt: Okay. That's helpful. And then just as a follow-up. I know you mentioned traction with the Tier 2 accounts, but does fiscal '22 guidance or the lift to guidance, assuming a significant contribution from Tier 1 players?
Cheri Beranek: Yeah. It does not include anything significant from Tier 1 at this point. We are continuing our sales efforts, and we have been in discussion with several Tier 1 suppliers to help them deal with their capacity limitations and that there has been some challenges at the Tier 1 level for some of our – for their incumbent suppliers to meet demand. We're aggressively continuing to work in that area, but we also are constrained in some of the Tier 1 opportunities due to supply chain issues associated with PVDF and other plastics.
Jaeson Schmidt: Okay. Thanks a lot guys.
Cheri Beranek: Thank you. Good to talk to you Jaeson.
Operator: [Operator instructions] There being no questions at this time, this will conclude our question-and-answer session. If your question was not taken, you may contact Clearfield's investor relations team at clfd@gatewayir.com. I'd now like to turn the call back over to Ms. Beranek for any closing remarks.
Cheri Beranek: It was a wonderful opportunity to present these numbers for you today. I just want to absolutely call out the amazing work of Clearfields' employee community, the execution on our strategy and the execution to deliver product in a scalable fashion. I think it's extraordinary, and I couldn't be more proud of what they're doing. I also wish all of you a – I'm very grateful for your support as we approach the Thanksgiving season, and wish you and your families a very blessed opportunity to spend time together. Until next quarter. 
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.